Operator: Good day ladies and gentlemen, welcome to the Great Lakes Dredge & Dock Third Quarter 2018 Earnings Conference Call. At this time all participants on a listen-only mode. Later we will conduct a question-answer-session and instructions will be given at that time. [Operator Instructions] As a reminder, today's conference is being recorded. Let's turn the call over to Miss Abby Sullivan, Manager of Investor Relations. Ma'am you may begin.
Abigail Sullivan: Thank you. Good morning and welcome to our quarterly conference call. Joining me on the call this morning is our Chief Executive Officer, Lasse Petterson and our Chief Financial Officer, Mark Marinko. Lasse will provide an update on the overall themes of our third quarter. Then Mark will continue with an update on our financial results. Finally, Lasse will continue with commentary on the market and outlook for the remainder of the year. Following their comments, there will be an opportunity for questions. During this call, we will make certain forward-looking statements to help you understand our business. These statements involve a number of risks, uncertainties and other factors that could cause actual results to differ materially from our expectations. Certain risk factors inherent in our business are set forth in our earnings release and in filings with the SEC, including our 2017 Form 10-K and subsequent filings. During this call, we will also refer to certain non-GAAP financial measures, including adjusted EBITDA from continuing operations, which are explained in the net income to adjusted EBITDA from continuing operations reconciliation attached to our earnings release and posted on our investor relations website, along with certain other operating data. During the call, we will also exclude our restructuring costs from certain financial measures to allow the user of the data to better evaluate our financial results from operations as compared to the prior year. Reconciliations regarding these non-GAAP measures are included in our third quarter earnings statement released this morning. Finally, beginning in 2018, the company has chosen to account for plant and overhead in the same period in which costs were spent, as opposed to the accrual deferral method previously used. As required by guidance, the company has recast the prior years as if accounting standard had always been in place for all periods presented. And with that, I'll turn the call over to Lasse.
Lasse Petterson: Thank you. Good morning. First of all, I'd like to start with a comment on safety and then discuss or improved results for third quarter. Safety is a core value in Great Lakes and we work hard to keep all of our employees safe every hour and through the day. As we continue our journey to an incident an injury free workplace, I'm proud to announce that this quarter and year-to-date Great Lakes has achieved the strongest safety performance since the inception of IIF program 13 years ago. A cultural safe work is truly embedded throughout the company in all our operations. Turning to our financial and operational results, this morning, we announced a strong adjusted EBITDA from continuing operations of $35.9 million. This is an increase of $22.8 million over the same quarter last year and the highest quarterly adjusted EBITDA achieved since the company went public in 2006. The third quarter of 2018 was marked by high equipment utilization, solid project execution and continued savings from our restructuring plan. In Charleston, South Carolina, we had three of the largest dredges in the United States deepening the outer access channel to 54 feet and despite delays caused by Hurricane Florence, Michael and Gordon. On our projects both on the East Coast and in the Gulf had good performance enabling us to deliver strong results ahead of expectation this quarter. Our newest dredge, ATB Ellis Island continue to meet or plan design criteria. She'll be finishing her current project rebuilding the Mississippi coast barrier ship island during the fourth quarter before mobilizing to the Charleston project late this year. The high levels of activity have continued into the fourth quarter for 2018. However, compared to third quarter, the fourth quarter does include some planned events affecting equipment utilization such as schedule regulatory drydocking or one dredge and the planned transitional equipment in Charleston, demobilising the cutter dredges and mobilizing the hopper dredge including asylum for the total window season this winter. Overall, we are confident to continue the quarter-over-quarter or prior year quarter improvement trend. Our restructuring efforts continued to impact results positively with $22.5 million of cost savings achieved year-to-date. As included for in our plan, we recognized $4.5 million charge related to our restructuring efforts, $3.2 million of which impacted adjusted EBITDA from continued operations. We expect to meet our target of $40 million in run rate savings by the end of 2018. A strong operations and cost savings initiatives has allowed us to make significant progress on debt reduction and de-levering of our balance sheet. Since year-end 2017, we have decreased our net debt by $85 million and planned to continue to reduce our net debt as we finish the year. Turning to the environmental infrastructure or E&I segment, we continue to see the impact of the lower than expected new work in this segment, but have delivered quarter-over-quarter margin improvements. Over the last 12 to 18 months, we have restructured operation in this segment to reduce costs and the team is focused on winning new work and executing it flawlessly. We recognize that we must continue to improve the financial performance of this segment. We believe that with these changes, we are positioning the E&I business segment well for the future. For those updates, I’ll turn the call over to Mark to discuss the results of the quarter and for an update on bidding activity and award activity.
Mark Marinko: Okay. Thank you, Lasse. Consistent with our most recent earnings releases some of the financial results released this morning were not in a slightly different format than prior years. The results included the financials as reported which includes restructuring charges as well as certain financial measures excluding restructuring charges to allow the reader to better evaluate our financial results as compared to the prior year. Turning to our financial results for the quarter, I will start with the quarterly consolidated results and then discuss results at the segment level. Please note that all results discussed will be operationally focused and do not include restructuring charges. I will provide specific commentary on the restructuring charges near the end of my comments. For the third quarter 2018, revenues were $204.3 million. Net income was $15 million and adjusted EBITDA was $39.1 million. Total company revenues for the quarter represented a $41 million or 25.1% increase compared to the third quarter of 2017. The revenue increase is the result of $44.8 million increase in the dredging segment which is offset by a $4 million decrease in the E&I segment. Total company consolidated gross profit was $44.2 million compared to $20.1 million in the third quarter of 2017, a 120% increase. Gross profit margin was 21.7% compared to 12.3% in the prior year quarter. Total company operating income was $27.9 million which is $23.8 million increase over the prior year quarter. The increase is driven by lower plant and overhead expenses which were a direct result of the dredging segments, asset rationalization program and high utilization during the third quarter of 2018. General and administrative expenses across the company were slightly increased over the prior year quarter. The increase is mainly a result of an increase in incentive pay in 2018 due to improved operational performance. General and administrative expenses also include reductions in labor and technical and consulting expenses due to restructuring savings initiatives. Net income from continuing operations for the third quarter of 2018 was $15 million, which is a $17 million increase over the prior quarter. The current quarter net income includes net interest expense of $8.1 million, an income tax expense of $5 million. In comparison, net loss from continuing operations in the third quarter of 2017 included $6.4 million in net interest expense and $0.5 million of income tax benefit. The current quarter interest continues to be elevated over the prior year quarter because a portion of the interest in the prior quarter was related to the construction of the Ellis Island and was capitalized. The prior year quarter included $2.2 million of capitalized interest. Adjusted EBITDA for the quarter was $39.1 million compared to $15.1 million in the prior year quarter. At the segment level, dredging segments revenue increase from the prior year quarter by $44.8 million. The increase is a result of an increase in the domestic capital market slightly offset by a decrease in the maintenance market. The coastal protection foreign capital and rivers and lakes markets each experienced minor variances when comparing to the prior quarter. In the domestic market, we saw positive results at our Charleston II, Myrtle Beach and La Quinta projects. In the international market, we completed one project in the third quarter and have been working in fourth quarter to finalize permits for our next project which we expect to start later in the fourth quarter. Gross profit margin in the dredging segment increased to 23.3% in the current quarter from 14.8% in the prior quarter on lower plant and overhead costs related to our rationalization plan as well as strong equipment utilization during the quarter. Dredging operating income increased by $21.6 million when comparing the current quarter to the third quarter of 2017. This increase is mainly as a result of the higher gross profit margin as general and administrative expenses were relatively flat when comparing the current quarter to the prior year quarter. Our E&I segment's revenue decreased by $4 million in the third quarter of 2018 as compared to the third quarter of 2017 on the continued issue of lower than expected new work. P&I segments gross profit margin increased to 9.9% in the current quarter from 0.9% in the prior year quarter. Although, the segment is still experiencing lower than expected value of new work, we achieved better project execution and lower overall planned cost thus improving the margin percentage. The segment reported an operating loss of $1.2 million in the third quarter of 2018, a $2.2 million improvement from the prior year quarter. The improvement as a result of the improved gross profit, which was slightly offset by $0.4 million increase in general and administrative expenses. During the quarter, we also recorded restructuring charge of $4.5 million. The charge is comprised of $3.1 million of accelerated depreciation as well as $3.2 million of expenses related to cost of contract revenues, general administrative expenses and sales of assets. Next, we turn to our balance sheet. We’re at September 30th, 2018, we had $23.1 million in cash and had drawn $31 million on our revolver, leaving us with $161 million in availability. During the first nine months of 2018, we also reduced our net debt by $85 million as compared to year end 2017. We plan to continue to pay down a revolver and expect to have a minimal balance remaining by the first quarter of 2019. Our total capital expenditures for the quarter were $2.3 million versus $12.6 million in the prior quarter, mainly driven by the completion of the Ellis Island construction in 2017. The 2018 bid market is on track to be the strongest we have seen in recent years with the potential for the year to cap up close to $2 billion. The total bid market-to-date is $1.6 billion of which we were awarded 43% or $679 million. Please remember that variability in the percent of contract wins is not unusual and the win rate is not indicative of the win rate the company is likely to achieve next year. The third quarter specifically had a strong win rate of 49% mainly as a result of the awards of the projects in Jacksonville and Tampa. During the third quarter of 2018, we were awarded 49% of the overall bid market comprised of $298 million or 70% of the capital projects, $26 million or 37% of coastal protection projects, $43 million or 13% of maintenance projects and $70 million or 100% of the large scale rivers and lakes projects that the company targets. Contracted dredging backlog at September 30th 2018, totaled $654 million compared to backlog at December 31st, 2017 of $511 million. The E&I segments backlog was $35 million at September 30th 2018 which is flat with backlog at December 31st 2017. With that I'll turn the call back over to Lasse for his remarks on the outlook moving forward.
Lasse Petterson: Thank you, Mark. The domestic dredging market continues to show strength with our recent awards of large port deepening projects in Jacksonville and Tampa. We expect the strong market to continue to positively impact our operations. Looking forward, we expect the solid market in multiple port deepening and channel deepening for new LNG projects scheduled to bid over the next 12 to 18 months. In Washington D.C, the budget for the U.S. Army Corps of Engineers was passed at another record level and the Water Resources Development Act of 2018 was signed into law in October. In addition, there has been various supplemental appropriations to mitigate the impact from Hurricanes Harvey, Irma, Maria and Florence which we expect to provide a strong pipeline of domestic project opportunities. To conclude, with a high activity level of the third quarter expected to continue into the fourth quarter and even with a vessel in drydock and the planned vessel transition in Charleston. We are optimistic that we can continue a quarter of prior year quarter improvements as we finish 2018. And with that I'll turn the call over to your questions.
Operator: [Operator Instructions] Our first question comes from Jon Tanwanteng, CJI securities. You may begin.
Jon Tanwanteng: Good morning, guys. Nice quarter.
Lasse Petterson: Thank you.
Jon Tanwanteng: Can you talk about the impact, are you thinking about from the demobilization and maintenance in Q4 as well as the impact from Hurricane Michael in the south? Thanks.
Mark Marinko: So Jon, thanks. Yeah we call it this obviously an extraordinary quarter for us. And as we look into the fourth quarter, there's really two major items that would be different than the third quarter. The first one being, we do have a major vessel that goes into dry dock that worked in the third quarter. And then secondly, on Charleston, we finish up the mechanical dredges and cutter dredges working in Charleston and we beginning in December move into the hopper, so we'll still be working Charleston but not every day like we did in the third quarter. So I think one of the things as Lasse just pointed out that's important is we do expect even with those to have our year-over-year improvement better than fourth quarter last year obviously just not to the level of Q3 this year.
Jon Tanwanteng: Okay. Got it. And did you have any shutdowns from weather?
Mark Marinko: We did, but obviously the weather is -- we do have weather delays in our estimate. So as long as we don't exceed those it really it's part of the estimate, doesn't impact the estimate to a big degree to a large degree so at this point in time, we had those weather delays in our estimates.
Jon Tanwanteng: Got it. Thanks. And then just from a debt and leverage perspective, you've done a good job paying down $85 million this year. What do you expect to stand by the end of the year and what are your expectations or hopes for 2019?
Lasse Petterson: Yeah so as one of my comments, we expect it to be minimal in the first quarter of 2019. When I say minimal, I mean that means close to zero. We can have there are certain times of the month where you may have a payment -- the large payments for a period of time or we make our interest on our senior notes payments those types of things, but otherwise we expect to be a minimal balance by the end of first quarter 2019.
Jon Tanwanteng: And for the end of 2019, is there a target that you're trying to get?
Lasse Petterson: I mean right now, we think we'll be about another $10 million down, so we had $31 million closer to the $21 million number -- I'm sorry, they said 18 sorry. Yeah, so once we were at zero we expect to remain at that level for the rest of next year barring any type of major investment.
Jon Tanwanteng: Okay. I am sorry, I was confused just trying to get the level of debt that you are trying to exit 2019 with relative leverage level?
Lasse Petterson: Okay. So you would still be a zero on the revolver and still have our senior notes at $325 million.
Jon Tanwanteng: Got you. Okay, that makes sense. No worries. And then finally just talk about the backlog in the E&I segment kind of what movement needs happened there for you to actually get profitable in that business next year?
Lasse Petterson: Right. So we had a $35 million backlog. It really needs to be closer to the kind of $50 million, $60 million range we'd like that revenue to be in that kind of $100 million range. And this year, there was a couple of -- what we need a couple of larger projects to move that when I say larger for E&I that's in kind of $20 to $25 million range as opposed to $5 or $10 million range.
Jon Tanwanteng: Okay. And do you have that pipeline being developed right now? Are you hopeful that together to that range?
Lasse Petterson: Yeah there's a lot of bidding activity in the market. There are jobs that size that we are bidding, so there is the opportunity to do that.
Jon Tanwanteng: Okay. Great. Thank you.
Lasse Petterson: Thanks.
Operator: Thank you. And our next question comes from the line of DeForest Hinman, Walthausen & Co. You may begin.
DeForest Hinman: Thank you for taking my questions. On the margin discussion fourth quarter lower than the third quarter, we had a lot of volatility in the margins recently. The good news is they've been moving upwards year-over-year is a huge positive. Is the fourth quarter margin outlook something similar to what we saw in the second quarter is lower than that we have these changeovers in dry dockings and things like that?
Mark Marinko: Yes, so the margin as we would be better than fourth quarter of 2017, we expect that to continue. When you look at the early part of year, it's a little bit better than the first half of the year, but not to the level of the third quarter.
DeForest Hinman: Okay. That's helpful. And then we think about the backlog, the improvement has been very nice to see, but the bid discipline is important and can you just update everybody on how we're bidding our work and is the margin let's say for the full year of 2018 in terms of what we end up seeing there. Is that the type of thing that shareholders should be anticipating when we think about that backlog that we've built, is that bid discipline going to show through next year?
Lasse Petterson: Yeah, that is one of our strong focus areas is to make sure that we have a disciplined approach to new projects and new work and we have a good systems for risk management when we do evaluate new opportunities. Clearly, in the dredging segment, it's a strong market right now and we are adding new projects to the backlog which as I say suits our equipment and our skill set with deepening projects in particular. And in E&I, we have the same approach. However, we -- our risk management systems, there are resulting in good margins on the work that we execute, but we just need to convert more projects to backlog.
DeForest Hinman: Little bit more of a focus on the E&I side, it's still losing money. It's been losing money for some time. It gets decent progress on the gross margin side year-over -year. Did we have any problematic contracts that we should be calling out in that segment in the third quarter?
Mark Marinko: This is Mark. No we did not. They are executing very well on the projects that is why you see that margin improvement there where we did last year at this time have one project that went into a loss position. So yeah this year has been very good from that standpoint. It's a matter of now winning some additional volume here to cover those fixed costs. From an execution standpoint, the team has done very well.
DeForest Hinman: Okay. And then I think maybe it was a year ago the expectation was for this business to be breakeven or profitable I believe in 2018. I don't think we're going to be able to achieve that this year but when we start to think about that next year, can you give us some sort of benchmark as shareholders that we should be thinking about for that business?
Mark Marinko: Yeah. So that's [indiscernible] going back to Jon's original question about how much backlog you need to get to? Yes, we need this business stay of $100 million, a little more than $100 million in revenue to be in that kind of breakeven at the operating profit line. A little more positive on the EBITDA side obviously so it's really what we look forward to next year that type of improvement where were you in the single digits -- positive operating profit a little bit more on the EBITDA side is what we're looking for.
DeForest Hinman: Okay. That's helpful. And then, on the capital management side very impressive debt pay down looks like we think the revolver goes to zero in the first quarter 2019 beyond that can you help us think about capital deployment?
Lasse Petterson: So as we go move forward here, as part of our overall restructuring plan we took out a number of vessels. We did have also mentioned that over time, we would like to refresh the fleet prudently, it depends on the market and so we don't have anything that, any major new builds contemplated in the short-term here, but in the long-term continue with this kind of strong port deepening market. It's something that we have to take a really hard look at but there's nothing right now in the short-term on our new-build.
DeForest Hinman: Maybe more specifically on the bonds, is there any desire to take down some of that balance or are we comfortable with that kind of a you know intermediate funding situation?
Lasse Petterson: Yeah, I think that's a good way to say this point we're comparable you know. We can't call them until 2020, May of 2020. So not really anything happening in 2019. So you know we'll take a look at a harder look at that later and end of next year depending upon that free cash flow we generate and still how the market is at that point in time. But yeah no – I think those were used were well kind of intermediate that's okay.
DeForest Hinman: Okay. So the outlook kind of reading between the lines is we should anticipate the cash balance just kind of building over the next few years once the revolver is paid down. Is that correct?
Lasse Petterson: Correct.
DeForest Hinman: Okay. Thank you.
Lasse Petterson: Thanks.
Operator: Thank you. And our next question comes from the line of Nelson Obes from Winfield. You may begin.
Nelson Obes: Your question about the long term prospects in the environmental business. I mean there's such a conflict in terms of contrast rather in regard to the macro aspects of the businesses from where I sit, of course, it's not a very informed level. But do you see a path forward in environmental that would make it a keeper. And because we all know that the contract in and of itself is more demanding because of its results requirement that you have to buy into when you initially put the contract out you know in terms of granular analysis of the finished product that you can't predict at initiation. So how do you look at that? Is that something that makes sense for what is otherwise you know a wonderful business model that you're executing on very nicely now?
Lasse Petterson: Nelson, we are – as I said on the last call we are activity looking at the E&I segment and the restructuring that has been done on E&I over the two years has been very well executed and we our target was to first bring the business back to be E&I EBITDA contributor in the company and then decide on where do we take that business going forward. And we are executing on that plan right now.
Nelson Obes: Fine. By the way your debt reduction is exemplary and really creates a whole different relationship between risk and reward. So I compliment you for that.
Lasse Petterson: Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Poe Fratt from Noble Capital Markets. You may begin.
Poe Fratt: Yeah, good morning. Looked at your CapEx for the third quarter was low again. Can you give us a total for the 2018 timeframe? And then maybe even into 2019?
Lasse Petterson: Yeah, so. Year-to-date, this will be in the queue when it comes out. We spent about 15 million. We have this dry dock and some other items in the fourth quarter. Go back to these – I've said in the past kind of this historical 40 million of what we spend on CapEx basis. And we'll be back at those types of levels barring any kind of new build that we have so you know. We've kind of been talking about that range for a period of time. We are watching that number closely so we are fairly low but I know we do have some additional expenses in the fourth quarter. So as you look forward you know it can be more in this 40 million type of range kind of high 30s range looked for 2018.
Poe Fratt: How about for 2018 though?
Lasse Petterson: Yeah. So we have a dry – yeah, I'd say it's going to be in the high 30s we have the drydock we have to do we've got a couple of scows that are related to our port deepening a smaller dredge related to the port deepening, so we do have some additional amounts that are much higher level in the fourth quarter.
Poe Fratt: Still it’s close to 20 million mark in the fourth quarter?
Lasse Petterson: That's right.
Poe Fratt: Got you, okay. So finally catch up. And then when you look at E&I bidding level I think in early calls you had indicated bidding levels and you know sort of 150 million range. Can you give us an update on what you know the bidding bucket is for E&I right now?
Lasse Petterson: So that bucket is – yeah, so we look at – we try to get 30 million – I’m sorry, 30% capture rate what we did. So working backwards you know there's kind of in this 300 to 400 million a year of what we bid. Obviously, the market is much larger than that but we focus on the areas that we do well I think that's you know in terms of like this and gross margin that's helped us this year. So it's going to be in that type of level of bidding we need to do on an annual basis to drive that you know revenue we want.
Poe Fratt: Okay. Do have a level of asset sales just on a growth basis that you didn't completed in third quarter?
Lasse Petterson: In the third quarter – I'm just – I don't have that number off the top of my head sorry, but we did we did sell 1. I think the proceeds for the quarter and I'm I might have this number little bit wrong or about $5 million from what we sold. There was one dredge in there. This is all part of the rationalization plan that that made up about almost 1.8 million of it 1.750. The other things were smaller. So I'm sorry I'm doing a little bit of that in my head but it's in that range.
Poe Fratt: Okay. And then looking at the awards that you know you talked about for the quarter a total 437 million. Was that all put into backlog or was there anything that will be essentially deferred into the fourth quarters as far as added the backlog?
Lasse Petterson: Yeah. So options that haven't been awarded yet would be not in backlog.
Poe Fratt: But included in that 298 are the options for Jacksonville and Tampa?
Lasse Petterson: Yes.
Poe Fratt: Okay. And can we expect by the end of the year but Jacksonville's a year out?
Lasse Petterson: Correct.
Poe Fratt: When you look at the – you know you're implying that the fourth quarter bidding activity were you know the market is going to be 400 to 500 million. Is there a mix out there that we can sort of guide to it as far as you know any major capital projects that are out there on the horizon? Or is it more maintenance in coastal?
Mark Marinko: Now it's still – As Lasse said early, still the port deepening market at Corpus Christi, Charleston the third phase of that are larger jobs that make up the bulk of that.
Poe Fratt: And you know given the back and forth right now with Corpus Christi what's the sizing on that. You know that that award that potentially is looming.
Mark Marinko: So it's between – around up to 80 and 90 million on Corpus.
Poe Fratt: That's the RFP, Mark.
Mark Marinko: Yes, so now that's moved to an RFP now from originally it was an IFB that everyone was over the core you know the core estimate. So now it's an RFP. So we're waiting to hear on the RFP. We submitted that on October 15.
Poe Fratt: Okay. Great. And sort of – just couple more if you wouldn't mind. On the restructuring you know to get to the 40 million run rate it looks like I'm going to have to do 18.5 million in the fourth quarter to get to that level. If my math is correct. Where are we going to – one, is that correct? And then, two, where are we going to see – where we're going to see that as far as where it hits the operations?
Mark Marinko: Yes. So first of all – so when we talk about our 22.5 savings here to-date that is you know actual in the financial statements so run rate is currently higher than that and run rate would be your annual number so we don't have to achieve 18 million of new but all the additional type of restructuring savings is really above the gross profit line. It's the operation sort of last kind of swim stream we had to work on this very little left on the kind of G&A side.
Poe Fratt: Would you talk about the current run rate then you said 22.5 that’s actual, where's the current run rate then?
Lasse Petterson: It's in the mid-30s.
Poe Fratt: Okay. So you're almost there anyway. And then, any other major, you talked Corpus Christi, Charleston III, any other major projects out there that you expect to bid on over the next 12 months or so?
Mark Marinko: Over the next 12 months, yes there is a number of large port deepening. We have Savannah, the next kind of part of that but it's in the Inner Harbor, there'll be a phase 2 of Corpus Christi and there's a second phase of the Savannah Inner Harbor. I've got another phase on this ship which is where the Ellis is working today that's phase 3 at Jacksonville and later in the year Jacksonville another contract as well as there's a fourth piece of Charleston. So these bids are in the back half of 2019, but they're all large port deepening for 2019. So just reiterating what Lasse said that, the market is in this port deepening market still strong for the ports near future.
Poe Fratt: And you alluded to that you're going to have to spend capital on fleet renewal at some point in time. Do you have sort of a ballpark number that you're looking at or that you're willing to talk about at this point in time I know that it's probably over a multi-year timeframe but any sort of working estimate on fleet renewal?
Mark Marinko: No.
Lasse Petterson: No, we as we have said last year, we focused on restructuring the fleet and the company we are delivering on that plan. Our plan is to continue to deliver into this year and into next year. We do have plans for fleet renewal and that is further out in time. We are looking at different options for both hopper, cutter and mechanical equipment that we will need to renew over time. But as Mark was saying, we do not have any concrete plans so then the CapEx investment in new equipment and short-term.
Poe Fratt: Okay. And just it's first international last quarter you pushed out the international potential recovery into 2020. What's your current thinking on international?
Lasse Petterson: Yeah, we finished off a project here in the third quarter and we are going to start up a new product [indiscernible] here in the fourth quarter. That's been a little slower to come than what we were expecting. It was an option that we are now starting to execute on, but we do see a recovery in bid volumes, but we applaud our operations. We do not see a large pick up until 2020 as we said before.
Poe Fratt: Great. Thanks so much and very strong quarter. Thanks.
Lasse Petterson: Thank you.
Mark Marinko: Thanks.
Operator: Thank you. I'm seeing no further questions at this time. I'd like to turn the call back to Ms. Abby Sullivan for closing remarks.
Abigail Sullivan: Thank you. We appreciate the support of our shareholders, employees and business partners and we thank you for joining us in this discussion about the important development and initiatives in our business. We look forward to speaking with you again during our next earnings discussion in February.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program and we will now disconnect. Everyone have a great day.